Operator: Good afternoon. My name is Mike and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Nutanix Q3 FY 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Tonya Chin, VP of Investor Relations and Corporate Communications. You may begin your conference.
Tonya Chin: Thanks. Good afternoon and welcome to today’s conference call to discuss the results of our third quarter of fiscal 2018. This call is also being broadcast live over the web and can be accessed in the Investor Relations section of the Nutanix Web site. Joining me today are Dheeraj Pandey, Nutanix’s CEO; and Duston Williams, Nutanix’s CFO. After the market closed today, Nutanix issued a press release announcing the financial results for its third quarter of fiscal 2018. If you’d like a copy of the release, you can find it in the Press Releases’ section of the Company’s Web site. We would like to remind you that during today’s call, management will make forward-looking statements within the meaning of the Safe Harbor provisions of federal securities laws, regarding the Company’s anticipated future revenue, billings, gross margins, operating expenses, net loss, loss per share, free cash flow, business plans and objective, product sales, plans and timing for, and the impact of our transition to focus more on software-only sales, expectations regarding product, services, product features, and technology that are under development, competitive and industry dynamics, new strategic partnership and acquisitions, our intend to acquire new technology, changes in sales productivity, expectations regarding increasing software sales, potential market opportunities and other financial and business related information. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, which could cause actual results to differ materially and adversely from those anticipated by these statements. These forward-looking statements apply as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. For a more detailed description of these risks and uncertainties, please refer to our quarterly report on Form 10-Q for the second quarter of fiscal 2018 filed with the SEC on March 15, 2018, as well as our earnings release posted a few minutes ago on our Web site. Copies of these documents may be obtained from the SEC or by visiting the Investor Relations section of our Web site. Also please note that unless otherwise specifically referenced, all financial measures we use on this call today are expressed on a non-GAAP basis and have been adjusted to exclude certain charges. We have provided reconciliations of these non-GAAP financial measures to GAAP financial measures in the Investor Relations section of our Web site and in our earnings press release. As a reminder, all results included in today’s call and press release, are using the newly adopted revenue standard ASC 606. Lastly, Nutanix will be at the Stifel Conference in Boston on June 12th and also at the NASDAQ European Conference in London also on June 12 and we hope to see many of you there. Now, let's turn the call over to Dheeraj. Dheeraj?
Dheeraj Pandey: Thank you, Tonya. Good afternoon, everyone. Q3 was a quarter in which we accelerated growth, while operating at above a $1 billion run rate. It was strong across the board with billings, revenue and gross margins all ahead of consensus. This is the third quarter in our transition towards a software defined business model and I can say that we’ve managed change immensely well. Our results were bolstered by strong AHV adoption as well as continued penetration of the Global 2000. We are just back from our fourth .NEXT user conference in New Orleans and I couldn't be more excited about the way this event has evolved. Just three short years since our first . NEXT conference, attendance has grown from approximately 900 to nearly 5,000 attendees, raising the total to more than 20,000 who have joined us at our global. NEXT event over the past year. What I'm proud of is that .NEXT continues to be hyper focused on our customers. From our first hackathon, where customers like the County of San Mateo, Cardinal Innovations Healthcare and Tucson Medical Center, developed exciting new projects for our ecosystem to do..NEXT awards where we recognized Home Depot, JetBlue, The Multi Commodity Exchange of India and CSRA for their contributions. Our customers are at the center of our success and we’re delighted to be able to celebrate them each year. We’re also pleased by the positive reaction to the three announcements we made at .NEXT. These three new additions to our product portfolio, Nutanix Beam, Era, and Flow, are important not only for their strategic value to our business, but also for the new opportunities they open for customers in our platform. These offerings will help our customers better manage their hybrid cloud environment, while helping to solidify our unique thesis of building an enterprise operating system from the ground up for a multi-cloud world. I'd like to take a few minutes to tell you about each of these offerings, so you can better understand the opportunity they present. When we introduced HCI in 2011, we disrupted the status quo by collapsing storage and computing to an easy-to-use platform. Legacy infrastructure companies weren't listening to their customers who complain about the cost and complexity of their legacy 3-tier architectures. The same was true when we collapsed hypervisor into our stack for the introduction of AHV in 2015. Security in the network where the next logical areas to focus our attention. These are legacy strongholds of complexity in the on-prem data center and that’s what we’re tackling with Flow. Flow will combine our native home grown micro-segmentation technology with application centric network visibility technology from our recent Netsil acquisition, which we announced and closed in Q3. The innovators in the Netsil team, the Gill brothers and their college mates from the University of Pennsylvania, who developed a state-of-the-art observability technology for multi-cloud environments are now a key part of Nutanix R&D. With Flow, our customers can secure network traffic and soon ensure their applications run optimally with deep insight and visibility into how these applications are performing on the network. As many of you know, our mission is to make infrastructure invisible. With Nutanix Era, we are redefining infrastructure to include databases. Enterprise Platform as a Service or PaaS needs to straddle private and public clouds, edge and core computing and managed open source and bring your own licenses. Era dramatically streamlines the provisioning of new databases and automates the lifecycle management of those business critical data bases. Similar to the functionality AWS offers in the public cloud with its relational database service or RDS, we will initially support Oracle and post SQL databases with future support for MySQL and Microsoft SQL Server. We expect Era to be available in the second half of calendar 2018. Beyond databases, enterprise PaaS also includes message buses for event driven Q-based applications. At . NEXT, we showcased Project Sherlock, a multi-cloud message bus with which IoT applications can take advantage of machine learning and AI algorithms at the edge when machines are producing data. Rather than bring immense amounts of data to the cloud, Project Sherlock bring the cloud PaaS to the edge. It was the most well-received keynote at the conference. Beyond databases and message buses, enterprise PaaS also includes object storage for next-generation applications. At the conference, we showcased how our high-performance, highly secured, S3 compatible object storage service will become an integral part of our enterprise cloud offering. Moving further of the stack, we’ve also introduced our first ever SaaS offering, Nutanix Beam or multi-cloud cost governance and security compliance application that is based on technology from our acquisition of Minjar. Based on machine learning of metering, billing and network data, team makes continuous recommendations and provides one click remediations to cloud deployment that have suboptimal economics and violate compliance checks. Over time we expect Beam to become the policy engine that it will drive mobility of applications between on-prem and off-prem. At the conference we also showcased the progress you’ve made with Nutanix XI, spelled XI, Nutanix comp and Google. As we talked about at our Investor Day in March, we are providing early access to XI at this summer delivering a true hybrid cloud with a seamless experience that harmonizes the architectures of owned and rented clouds, haven't been done before. Like hyperconvergence of hardware on-prem, the attention to detail in engineering and design with hyperconverged private and public cloud. We will create a very large opportunity for us in the enterprise. Our bet is that mobility will be the killer app in multi-cloud. Our engineers, designers and product managers have been burning the midnight oil to make sure that replication multi-talent networks and run book automation or indeed one click in this hybrid experience. Simple yet secure. And most importantly that our own engineering processes are one click in cloud deployment and change management. Our relationship with Google continues to make very good progress. Google cloud CTO Brian Stevens joined us on stage at . NEXT to provide an update and live demonstrations of native Kubernetes support for containers and Calm support for Google GCP. And this entire demo was working with no hardware on-prem. The entire Nutanix stack was running in GCP on Google's hypervisor that is the power of our software centric architecture. Like Dell, Lenovo and IBM ports, we showcased how our cloud operating system will be ubiquitous, running inside hyper skill environments like Google. In addition to support for GCP comp now includes support for VMware environment. This continued expansion across public and private cloud environment brings Calm closer to reaching its full potential. As an application orchestration and lifecycle management offering for the multi-cloud world. Interest in comps is accelerating with some of our most innovative customers, and in this past quarter, it was adopted by a diverse set of customers in industries including healthcare, insurance and banking. Now let's move on to a few of our noteworthy highlights from Q3. In the quarter, 44% of our bookings came from large deals. We now have 67 customers with over $5 million in lifetime bookings. 22 of which have lifetime bookings of more than $10 million, the majority of the customers and the Global 2000. In this quarter, our top four deals were in all in excess of $5 million each and 3 of those deals were software only. Of those deals, three were noteworthy for the customers decision to go all in with our hypervisor AHV. And the third largest deal of the quarter with a Global 2000 retail customer with whom we have more than $35 million in lifetime bookings. The customer will leverage our platform to run call center operations on AHV. This deployment will also enable the company to roll out a new tech support offering and it's our largest deal with the customer to date. In addition to its success within the Global 2000, AHV is also a major decision factor for government entities worldwide. AHV was a significant factor in both our largest deal of the quarter, a new customer win with a large U.K central government department and our fourth largest with an entity of the U.S Department of Defense, DoD which has life time bookings of more than $5 million. Public sector entities continue to adopt AHV for both the cost savings and provides the increased functionality for fully integrated stack. With these large deals and continued adoption across our customer base, AHV adoption rose to 33% on a ruling four quarter basis, up from 30% in Q2. We expect this adoption will continue to rise over time. In addition to AHV, our robust security continues to be a major decision factor for a public sector customers. In two of our top deals this quarter, with the previously mentioned DoD entity and another DoD entity with lifetime bookings on more than $16 that is composed of military, federal civilians and contractors. Our security first approach, scalability and ease of use were not at major factors in our selection. In the second DoD deal I mentioned, the military have drilled civilian and contractor composed entity plans to use Prism Pro for a planning and analytics. We continue to see adoption at Prism Pro and AFS throughout our customer base. In Q3, a new customer, an American Investment Management fund with the focus on asset management, serving customers who are wide, signed a deal for more than a $1 million that included AHV and AFS across 13 locations all managed by Prism Pro. Another new customer from our APAC region, a data processing unit within a large prefecture, will leverage AHV and AFS to integrate all the infrastructure within the prefecture on to our software platform. As mentioned, Q3 saw continued adoption from our G2K customers which accounted to 43 of our top 100, 10 deals in the quarter. One of our nine deals worth more than $3 million in Q3 was a software deal with the U.S brokerage firm that has lifetime bookings and more than $10 million. This G2K customer continues to expand its production media environment. On our platform and has made purchases in every quarter since it's an issue by -- in Q3 of 2017. Another software deal with the G2K customer in Q3 was with a French multi-national banking and financial services company. This customer has lifetime bookings of nearly $10 million in a Nutanix environment running a diverse set of enterprise application workloads across more than 22,O00 virtual machines. This deal was one of our 47 deals worth more than a $1 million in the quarter. Now coming to talent, we hired Sankalp Saxena as Managing Director to lead our operations in India. Sankalp will oversee our India technology center and further the great contributions that the team has made to our product and business. Built by our India Sales Leader Sunil Mahale, the Indian customer base also continues to pleasantly surprise us. I call India the AHV country. Their extremely higher adoption of AHV convinces us that virtualization is still an underpenetrated market and by making hypervisors invisible, we’re growing the surface area of enterprise cloud. We have very high hopes for India as it grows to invest in software, automation, a Silicon Valley like startup culture and cloud. From 5 years ago, when we had nothing in India to where we are today. You’ve come a long way improving that a high quality business and a corporate development strategy can be built by being geographically dispersed without compromising on culture. No wonder we’ve been recognized in 2018 by Glassdoor and Battery Ventures, as one of the top public companies to work for cloud computing. In summary, Q3 was a great milestone in our journey towards our goal for $3 billion in software billings in fiscal 2021. There is much work to be done in the coming 12 to 18 months, both in products and our go-to-market motion. We hope you will keep us honest. With that, I will hand things over to Duston, who will provide a more detailed breakdown of Q3. Duston?
Duston Williams: Thank you, Dheeraj. Q3 mirrored the underlying trends of prior Q3s and we were pleased with our results that reflected continued strong growth. Revenue for the third quarter was $289 million, growing 41% from a year-ago and up slightly from the previous quarter and significantly ahead of our guidance of $275 million to $280 million. In Q3, we targeted to eliminate $45 million of pass-through hardware revenue, and I’m pleased to report that we exceeded our plan and eliminated $52 million of pass-through hardware revenue during the quarter. Software and support revenue was $227 million, up 55% from the year-ago quarter and up 9% from the prior quarter. On a revenue basis, the product mix was 78% software and support and 22% pass-through hardware. We billed $351 million in the quarter representing a 50% increase from the year-ago quarter and a 1% decrease from Q2. Once again, in consistent with last quarter this billings performance far exceeded the current Street estimates of $332 million. Software and support billings were $292 million, growing 67% from the year-ago quarter and up 6% from the prior quarter. On a billings basis, our product mix for Q3 was 83% software and support, and 17% pass-through hardware revenue. Notably on of bookings basis, pass-through hardware decreased to less than 16% of total bookings. The bill to revenue ratio in the quarter was 1.21 in line with our previous estimate of approximately 1.2. We have -- we continue to have slightly higher revenue deferrals with our software-only deals which impact of lowering our current quarter revenue along with increasing our deferred revenue balance. As we execute more software-only deals, we expect the bill to revenue ratio to continue to elevate in the Q4. New customer bookings represented 27% of total bookings. On a regional basis, EMEA continued its resurgence and turned in another very nice performance in Q3. In Q3 our software related bookings from our international regions were 45% of total software and support bookings versus 37% in Q3 '17. Our Q3 deferred revenue increased by $62 million up 62% from a year-ago and up 13% from the previous quarter. Non-GAAP gross profit for the quarter was 198 million growing 57% from the year-ago quarter and up 9% from Q2. Our non-GAAP gross margin for the quarter was 68.4% compared to 61.2% in the year-ago quarter, 63.5% in the prior quarter and to our guidance of 67% to 68%. This continued gross margin expansion is being driven by a transition to a software defined business model. Last quarter I mentioned we had fallen behind in our hiring and that we would and I quote here have a full court press on hiring in the second half of the fiscal year to try to make up for this headcount shortfall. Well we executed this full-court press flawlessly and ended up hiring more new employees in Q3 than in any previous quarter by a wide margin, During the quarter, we added over 60 new sales teams, which is critical to our planned growth for future periods. We were very pleased with our higher performance in the quarter and although not yet at our planned headcount we did significantly exceed what we thought was possible when guiding Q3. Including the addition of almost 85 employees from our two recent acquisitions, Netsil and Minjar. The strong hiring performance drove expenses to $232 million in Q3, exceeding the high-end of our guidance by $12 million. Expenses grew 37% -- from the year-ago quarter, but at a significantly lower rate of growth and then total billings of 50%, software and support billings growth of 67% and gross profit growth of 57%. Our outperformance and hiring combined with higher than anticipated payroll taxes from huge vesting contributed to almost all the operating expense overage as compared to our guidance. The higher at payroll taxes are directly correlated to the Nutanix stock price appreciation that has occurred over the last several months. On a non-GAAP net loss, our non-GAAP net loss was $35 million or a loss of $0.21 per basic share. Few balance sheet highlights. We closed the quarter with cash and cash equivalents of $923 million. That’s up from $918 million in Q2. DSOs on a straight average were 60 days compared to 58 last quarter. The weighted average DSO was 26 days in Q3. We generated $13 million of cash flow from operations in Q3, which was negatively impacted by $10 million of ESPP outflow. And we generated negative $1 million of free cash flow during the quarter. And this was also negatively impacted by the same $10 million of ESPP outflow. Now for the guidance for the fourth quarter. Again on a non-GAAP basis, we expect revenue between $295 million and $300 million, assuming the elimination of approximately $95 million in pass-through hardware revenue. Gross margin between 73% and 74%. Operating expenses between $250 million and $260 million and a per share loss of approximately $0.20 to $0.22 using weighted average shares outstanding of $171 million. Although somewhat fluid from quarter-to-quarter, in Q4, we're assuming a bill to revenue ratio of up to 1.25 versus the current Street estimates of approximately 1.2. Based on our revenue guidance and our expected bill to revenue ratio, we expect billings of at least $25 million to $30 million higher than current Street models. This would also indicate based on assumed software and support billings only, a 50% growth rate in billings from the year-ago period. It is also very important to note that in Q4 the change in estimated bill to revenue ratio of 1.25 from the current Street estimate of 1.2, ends up resulting in approximately 12 million more of incremental deferred revenue that would have otherwise been reflected equally in revenue and gross profit. To continue to fuel strong growth trajectory in Q4, we expect operating expenses to increase between $250 million and $260 million, finally getting to a level assumed in our operating plan that we put I place at the beginning of the fiscal year. And even with this growth on a year-over-year basis expenses will grow significantly less than the growth rate of our software and support billings. This growth and expenses has been thoughtfully crafted and is closely correlated with superior growth rates we're experienced within our software and support billings. We will continue to accelerate our spending around existing products, new products and on new technology drive from M&A activity, if we believe it will lead to notably improving our already current market leadership position. If not for the projected increase in the bill to revenue ratio for the quarter, which result in additional deferred revenue, this expense growth would have been funded by higher revenue in an equal amount of gross profit dollars. Cash flow remains unchanged as the increase in billings offset any expense growth. And lastly, as you may recall during our Investor Day in March, we talked a lot about the Rule 40, with the Rule of 40s we are basically summing up the annual revenue growth rate percentage and free cash flow as a percent of revenue. We also show that very few software companies can consistently maintain Rule 40 score of more than 40% and that company's execute to this rewarded with superior evaluations. We also stated that we would continuously trade-off higher or lower revenue growth with corresponding lower or higher free cash flow and profitability, while always targeting a rule of 40 score of 40% or greater. Based on a rolling four quarter basis and using our software and support revenue as a proxy for total revenue, our Q4 guidance would suggest a Rule of 40 score approaching 50%, which we believe puts us in the top 10% to 15% of all public software companies. So in summary, in the third quarter, it was a strong one. We had good growth in both billings and revenue, saw a rapid gross margin expansion, we ramped hiring to support our growth plans and we delivered on our stated milestones to shift with software defined business model. With this execution, we are well-positioned to reach our goal of $3 billion in billings for fiscal 2021. And with that, operator, if you could open the call up for questions, that would be great. Thank you.
Operator: [Operator Instructions] Your first question comes from Matt Hedberg with RBC Capital Markets.
Matt Hedberg: Hey, guys. Thanks for taking my questions and congrats on the strong results. Maybe starting, Dheeraj with the pending launch of XI Cloud and the related services, which I think still sound to be absolutely on track from Analyst Day? How do customers think about operating in a true multi-cloud world, where -- and how quickly might we be able to realize true application and data mobility?
Dheeraj Pandey: Great question, Matt. We at .NEXT did some really good touchdown with customers and how they feel about this and some great sessions more than 900 attendees, and people are flowing out of the conference room will be were almost violating the fire code of the building with so many attendees. There was immense interest in XI because we really build a cloud for the IT operator. Up until now most of the cloud is being catered to developers and build as new applications. But there's a ton of legacy to really migrate from an on-prem world to a rented off-prem world. And we are really putting a lot of attention to detail those Monday and things in storage in computer networking and high-availability business continuity disaster recovery, a lot of those things are the things that we actually are going to make sure that people get a one cloud -- one click experience. And we are fairly close. I mean, as I told you earlier, the thing that we rally building its a bullet train between on-prem and off-prem and that is a of work in terms of compute and storage and networking and security and identity, that all have to become hybrid. But you will start to see those results show off in the coming couple of quarters. I mean, we talked about summer is when we actually launched this for customers and from there you will start to see us report about how many migrations, because this is really a Jason to our existing customers. They really liked the fact that they can get this in a one click experience.
Matt Hedberg: That’s great. And then maybe just one operational question. With the record hiring this quarter, and I think 16 new sales teams, what process are in place to ensure these teams scale appropriately. I’m curious, are you splitting territories and certain regions or more of these in net new pads that did not have prior coverage.
Dheeraj Pandey: Well, segmentation is a journey not a destination. So we will continue to segment. We are continuing to look at, how some of our reps actually graduate from enterprise accounts to global accounts. Within global accounts we will continue to segment because some of they might have 10 accounts and over time I think it's a great ride of passage to have our reps only focus on two accounts. But there is a lot of farming and hunting that has to go in parallel, so we continue to look at this as a pyramid and a lot of experience reps will actually go from commercial reps to being enterprise reps and lot of really good enterprise reps will become global account reps actually.
Matt Hedberg: Great. Thanks.
Dheeraj Pandey: There is also a focus on channel as well that’s the other area that we’re focus on as we segment a lot of our own sales force, how do the channel actually go and yield with the SMP and the lower end of the mid market.
Matt Hedberg: Got it. Thanks a lot. Well done guys.
Operator: Your next question comes from Alex Kurtz with KeyBanc Capital Markets.
Alex Kurtz: Hey, guys. Thanks for taking a couple of questions here. Dheeraj, just on the OEM portfolio and your hardware partners. How is the ramp been year-to-date and that taking to maybe a sneak peek into fiscal '19, which one of the big OEMs you think it off for the most leverage and then maybe getting international growth or maybe into new vertical for you guys really aren't today.
Dheeraj Pandey: Thanks, Alex. So, one thing that has really going on well for us is during the transition we have not pissed off our OEM partners. That's very important, when you talk about change especially of this kind, the last three quarters have been immense change from the business model. We done a really good job of saying it's a win-win, it's not a zero-sum game. And many of our large customers are actually working with our OEM partners to provide them the hardware that they actually prefer which the freedom that actually need between Dell or Lenovo or HP or Cisco. All in all, I think we’ve seen really good partnership across the board. We just announced the XC core partnership with Dell as well where people can now buy software licenses on top of Dell hardware. Lenovo has done a tremendous job. It's probably the best quarter to date that Duston can also attach to. But okay, I think you’re seeing a few things in Japan and the rest of Asia, including Germany. Fujitsu is actually being one of our recent partners and IBM in the power architecture, this is not X56, we've just announced our AIX solution for the fact that people can virtualized AIX eventually which has been seen really positively by IBM customers.
Alex Kurtz: And thanks. And then, Duston, just a quick question about steady state OpEx growth as maybe we start to look to fiscal '19, maybe an early look, and how should we be thinking about that?
Duston Williams: Yes, I think Q1 -- again, we only got to one quarter a time, but we’ve got some other chunky things in Q1. So have some reasonable expense growth there. But again it's going to be highly correlated to our billings performance, specifically around software and support. And that’s -- I think we've done a good job of balancing that and the more comfortable we get with that growth rate and what’s going on there. We will continue to put up some reasonable expense growth to fund that growth. Q1 maybe a little bit more than the other quarters, but we will have to see how that plays pit. Just from some planning things that we have going on in Q1 in our sales meetings and things like that.
Alex Kurtz: Thanks, guys.
Operator: Your next question comes from Aaron Rakers with Wells Fargo.
Aaron Rakers: Yes, thank you and also congratulations on the quarter. A couple of questions, if I can. So first of all, I wanted to understand exactly what you're saying about the billings relative to revenue trend. If I look at just the software plus services billings and you’re seeing about 50% year-over-year growth, unless my math is wrong, it would seem that you’re actually assuming that the billings relative to revenue for software and services alone that actual ratio comes down a bit? So I’m just curious why would that be, if my math off.
Duston Williams: Yes, we probably take it offline. I think your math is probably off a little bit there. Maybe just picking up some numbers. I haven't dissected it into individual pieces there. Clearly, it was 1.21 in Q3 and we see it on a total billings basis going up to roughly the 1.25, maybe upwards 1.25 there. So I have to go through the detail with you.
Aaron Rakers: Okay. Fair enough. And then when we look at your guidance around the gross margin line, you look at the delta between what you're guiding 9%, it looks like hardware -- pass-through hardware as a percentage of billings, it's about a 4 percentage point delta between that relative to the percentage of revenue that you've driven from pass-through hardware. So if I do the math and assume about a 98% gross margin on software alone, and you assume a 60% gross margin on the services business, then it would appear that you're being rather conservative in the gross margin guidance for this quarter. So I guess I’m trying to understand what exactly you’re assuming? Is it the services gross margin kind of goes back in that mid 50% range and why would that be?
Duston Williams: Yes, we've always had that pool of other expenses there that doesn't easily get allocated to the software piece or the other …
Dheeraj Pandey: Professional services as well.
Duston Williams: Yes, the professional service, which is in the support piece there. So that we talked about in the past, its roughly $2.5 million a quarter plus that’s kind of a fixed amount there. To your point on the margins, we've been really happy with the progression on the margins coming up this quarter, obviously, with the guidance a little bit. And we are excited about what we’re doing and we will see how Q4 plays out here.
Aaron Rakers: So sort to be clear, you’re assuming a mid 50% services gross margin?
Duston Williams: I think if you bundle those other fixed cost into there, that’s what you will probably come up with, yes.
Aaron Rakers: Okay. Thank you.
Duston Williams: Because right now it probably -- it has a home in the other bucket there and ultimately if there's nothing left, you have to get allocated somewhere.
Aaron Rakers: Thank you.
Operator: Your next question comes from Katy Huberty with Morgan Stanley.
Katy Huberty: Thank you. Congratulations on the quarter. The acceleration in software and support growth to 67% in the quarter, is that entirely driven by faster node growth or is there also a dynamic of higher attach software that’s playing into that trend?
Dheeraj Pandey: Yes, I think -- thanks Katy for the question. I guess, it's a combination of quite a few things. Large deals being one. A year-ago, we were in this business, where we talked a lot about DRAM pricing and things of that nature where hardware and movements in hardware pricing were actually affecting our overall ability to extract value of the software itself. So a big chunk of this is just the fact that we can now sell software at scale. And obviously, people are looking at ultimate which is one of the additions that we sell, which has quite a few features. We are selling Prism Pro now at scale, we are selling Prism Pro. In fact, it's the other thing that we’ve seen, its AFS which is our fastest growth product in the history of the company. So there's a few other things coming along, but the biggest factor I would say is the fact that we can decouple software from hardware and not worry so much about hardware pricing.
Duston Williams: Katy, we done I think as Dheeraj mentioned a good job of maintaining value. We typically look at it on a software and support, what we call applied software value, software and support ASP per node and that held pretty strong in the quarter. So it's pretty good determination there of us holding some pretty good value.
Dheeraj Pandey: The other thing that we also read, Katy, in the last year or it has been use of consumer grade flash, that have actually really helped us in all flash environments. We are doing a lot of all flash environments now. And that's happening because of a lot of the work that we did this consumer grade hardware.
Katy Huberty: And can you remind us when some of the new products like XI, Calm, Beam, Flow, that will ship this year. When that can contribute meaningful revenue or are we still a few years out from that?
Dheeraj Pandey: The Flow is a GA product, and there's a lot of education. In fact, we are going down a part to saying you don’t need BX land, that’s actually a complete different piece it's just like we talked about no SAM and no VTEPs. We talked about VXLAN, and there's some education here, but we can definitely see some customers, many customers large customers will be extremely affected by the complexity of VXLANs and the network virtualization stack of the last 3, 4, 5 years. We are seeing some really good traction in PLCs. So I would say that meaningful revenue. We probably expect sometime in calendar 2019. Now exactly what that looks like will be a function of execution not just product because product is pretty much there in Flow. But a lot of work that we had to do and go-to-market itself and saying there's different way of doing network virtualization. Era, I think again is going to be GA by the end of this year, so I know its early days. It's like 2011 for Nutanix is what Era is right now. And Beam the good thing is that’s a SaaS product and its already GA'ed. So we learn the lessons about how do you really pay the channel? How do you pay the sales force on a subscription product itself. And I think there will be some good lessons to come and talk about in the coming quarters.
Katy Huberty: And then just finally where are you integrating AI capabilities into the software and do you think that those are features that you can charge for or are they just necessary to compete in the software market going forward.
Duston Williams: Yes, it's a great question about AI. There's a lot of AI talk just like, think about the Gartner hyper cycle. There is a lot of AI software -- there is a lot of AI in open source, so there are lot of coming from especially models and algorithm is coming from public cloud vendors. Our goal will be to make AI and ML accessible to customers, because this design principle of the Maya design principle into acronym stands for most advanced, yet acceptable. And a lot of AI in the '19s failed the MAYA principle, just like RFIDs in 2000s and Docker a couple of years ago. But beyond the hyper cycle it's a very good opportunity for us to really go deeper into making this consumer grade. One of the things that we talked about .NEXT was Project share lock.
Dheeraj Pandey: And Sherlock's goal is to actually make AI more useful and accessible to through a [indiscernible] click consumption. How quickly can you build applications not just the fact that you can use GP hardware or flash hardware. But really the fact that you can build applications and that’s one of the big things if you’re focusing on with Project Sherlock.
Katy Huberty: Thanks so much.
Operator: Your next question comes from Rod Hall with Goldman Sachs.
Rod Hall: Yes. Hi, guys. Thanks for taking the question. I wanted to start off by going back to this comment you made Dheeraj about all flash and sort of understand who you think you might be taking business from there, so could you just comment on who you think you’re competing with there, who may be losing businesses as a result of your progress there? And then I’ve got a follow-up.
Dheeraj Pandey: Yes. Thanks for the question. So on one side, there's definitely a lot of disruption going on with mid range arrays, because a lot of them are up for refresh. Most of them were actually using spindles in the past. And then the other side, hyperconvergence, for structure, itself. We know we’ve done a really good job of mixing and matching hybrid nodes with all flash nodes. And that is a really hard problem to solve for, because you have to really understand data locality and hearing and metadata, lot of things that otherwise goes awry when you think about spindles and flash in the same cluster. So, on one hand we are becoming super competitive in heterogeneous clusters and hyperconvergence infrastructure. On the other we think that we are doing a pretty good job of selling flash to the application administrators, rather than going and selling to the stores, you guys but it's actually a sense per gigabyte, so dollars per gigabyte kind of conversation. But what does it need to really make this application fast and be able to deploy this after scale.
Rod Hall: Yes, it's just strange that we’ve seen some flash vendors pivoting to like it does. Type of messaging and we wondered it, maybe you are putting some pressure on them from a competitive point of view.
Dheeraj Pandey: I mean, definitely. Little bit developers and containers, I mean, at the end of the day a lot of the next-generation DevOps and developers will want to commodity servers and be able to really do things like the way they did with Hadoop and Spark and Apache, Kafka, and all those different kinds of DaaS architectures, really need to come together and need to provide all the bells and whistles that you had in a 3-tier architecture in this collabs to commodity hardware architecture.
Rod Hall: And then Duston I just wanted to check pass-through hardware expectations in fiscal Q4. Could you just maybe update us on what you’re expecting now that you’ve seen the -- got the quarter under your belt and a little bit of fiscal Q4 as well?
Dheeraj Pandey: Yes. So, nothing to do with where we are in Q4, but roughly what we said we will eliminate 95%.We had a target to get to roughly I think 9% for billings, that’s always 3% to 4% higher for revenue. And as we see it now, we should be pretty close to that. Estimate that we put out three -- over three, I guess, quarters ago. North America, as we mentioned, team did a great job. Basically facilitating all of North America. So that’s done. Europe is well underway with a lot of progress being made there. And now focus has turned to Apex. So a lot of good stuff going on and as we see it now we should be pretty close to that number.
Rod Hall: That’s great. Thank you. Looks like good execution. So nice job.
Duston Williams: Yes, teams have done a really nice job.
Operator: Your next question comes from for Jayson Noland with Baird.
Jayson Noland: Okay. Super. My congrats too. Dheeraj, I wanted to ask on this shared accelerated storage term kind of an umbrella phrase for NVME [ph], you’re agnostic to the hardware underpaid. Is this an opportunity for Nutanix, and does it change anything within the industry overall?
Dheeraj Pandey: Oh, absolutely. We talk about how close can storage get to the application, because now its NVME your fabric, we actually need to bring it even closer to the application because at the end the day NVME is going to be that much faster and while we talking about 40 gigabit networks and 100 gigabit networks, still the commodity is 100 gigabit. And only in the last two years have people moved away 1 gigabit on board. Network cards to 10 gigabit now. So I think it's a great opportunity. In fact, we can also virtualize the NVME over fabric protocol to be hyperconverged, which is again a very unique opportunity, the fact that you can have apps not going through NFS which was the tax that we had to pay for hypervisors. In the age we land I think when you look at our hypervisor, there is some immense opportunities to go and optimize the NVME or fabric kind of protocols.
Dheeraj Pandey: Without really thinking about legacy hypervisors,
Jayson Noland: Okay. Thanks for that and then a follow-up on AHV. You said it's a significant part of some of your larger deals, is that driven primarily by cost savings or is there more to it?
Dheeraj Pandey: Well, I think we don’t lead with cheap and Nutanix is not that cheaper product. If anything we get a lot of flat for being a premium product, but we lead with ease of use and the stuff works and the fact that application folks can now use virtualization and that’s the thing I talked about, for example, India is a country that was under virtualized. Now they can just use it without having to really become virtualization experts. Look at Splunk administrators and Oracle administrators and Citrix administrators, a lot of these folks including Mode [indiscernible] applications, I mean a lot of Mode [indiscernible] apps need the soft layer underneath to be able to make things highly available and replicable and backup and disaster recovery proof and so on. So, we have seen a lot of adoption because of the fact that we are making things invisible rather than just making it cheap. Now budget is definitely a reason, I mean, people like Wow, I don’t have to pay for it anymore. But the real education on the fact that we should not have paid for it comes from public cloud. People like, well I use the public cloud and I didn’t really pay for a hypervisor I don't have a team of people managing each relation software, is the education that people are getting on-prem as well.
Jayson Noland: That's great. Thank you.
Operator: Your next question comes from Wamsi Mohan with Bank of America Merrill Lynch.
Wamsi Mohan: Yes, thank you. One for Duston, one for Dheeraj. Duston the new customer acquisition pace has slow down to about 4% year-on-year and that’s been decelerating, but you also noted like increasing traction with the last several quarters on larger deals and even including software only. So has there been a change in focus towards larger deals versus new customer footprint? And your ramp and sales teams that you alluded to in this quarter, how should we expect that recurring going into next quarter as well? I have a follow-up for Dheeraj.
Duston Williams: Sure. Now if anything we are focusing a lot of things and we’ve actually had a renewed focus with the channel on new customer logos. Actually we’ve got a rebate program in place now and …
Dheeraj Pandey: For the first time in the history of the company.
Duston Williams: … for the first time in the history of the company and we're really excited actually now this have to obviously get into actual bookings. But really excited about what's happening in the channel with the pipeline for new logos and things like that. So there has been -- if anything in acceleration or focus there from a new customer. And the Q3 new logo usually come down. We had a really good Q2 in a lot of different ways and …
Dheeraj Pandey: Unlike 2017 when Q2 was …
Duston Williams: Yes, we had an offices issue in the year-ago, but we had a really good quarter in Q2, which brings up a good point guys, we internally now and maybe you want to start doing this also is that we are starting to analyze the business really on a rolling two quarters basis because it's a lot more insightful because I think potentially in the phase maybe we have Q2 losing Q4 as our January and July quarter which also happens to be the end of a commission 6-month mission period for us, maybe be a little stronger. So you can't really look at a strong Q2 in a strong Q4 without looking at a potentially slower Q1 or slower Q3 or conversely you can do the opposite. So we started actually analyzing a lot of things on a rolling 6-month or two quarter basis which as I say is pretty insightful for the business.
Dheeraj Pandey: Also be comfortable with our long-term average that we want every quarter is the -- in the Investor Day presentation we talked about the average customers if you want every quarter.
Duston Williams: Yes.
Wamsi Mohan: Okay. That's helpful. And then Dheeraj, how are you thinking about the evolution of the product portfolio you've been adding assets like Netsil, Minjar to make your offerings even more comprehensive and you alluded to sort of where you -- I guess, quite extreme focus on internally on areas like replication and want the cloud deployment and other things you brought up. How far are you from what you view as sort of a comprehensive enough complete portfolio towards your cloud OS destination like how far are we from the asset base that would get you to your end state?
Dheeraj Pandey: It's a great question, Wamsi and definitely a lot of wondering that I need to do for this answer itself. I was talking to somebody yesterday who joined Microsoft in 1991 and I was trying to hire him and he said you know what? Microsoft is as big in '91 savings you guys are today. And this is a timeless journey. What we are really doing is like the Microsoft, Oracle of 1991 in order to build an operating system is never going to end. I mean, even today Windows is hustling with Windows Azure. And it's a new consumption model for hypervisor offering system and this windows was ceded back in 1991. So I think we’ve a timeless path here. We will go and do many, many things in layers above us like PaaS. I mean, I talk about enterprise PaaS we will double down enterprise PaaS. We had great open source leverages. We leverage a lot of open source to build things at a commercial grade that are enterprise grade. So expect us to do many things where open source becomes a big part of our leverage.
Wamsi Mohan: Thanks a lot guys. Great job.
Operator: Your next question comes from Jason Ader with William Blair.
Jason Ader: Yes, thank you. Two quick ones, maybe first for Dheeraj. As you’ve just shifted to an all software model, what had surprised you the most I guess both positively and negatively?
Dheeraj Pandey: Great question, Jason. Thanks for the question. I think the biggest positive thing that I see is that our front-office actually likes it and our customers like it as well, because anytime you do a transition of a business model and you’ve to do really methodically, it's like at 35,000 feet how do you change the wings of a plane, it's kind of the thing that we went through in the last nine months. But it was done without a blip and that's what I feel really good about that the front-office embraces it, there's not a whole lot of like what do we just do. And we are seeing some large deals, I mean, in terms of what we see on the horizon and that probably was -- would not have been possible had we continue to sell appliances. And the big reason is because people would not want to buy all the hardware upfront. Now that’s not to say that we don’t see a lot of customers saying please do not discontinue NX, because they love the single throat to choke in a single hardware plus software kind of integration. So I think what pleases me is that we are able to actually have our cake and eat it too. Your question about what is the corn like what do we not like about it? I think it’s the design piece of it. We have to really go -- and I mean it's not about the last 9 months, but the next 12 to 18 months, we really have to think about a hybrid license model. And it's not that easy because for the first time we will have to expose what it means to deal with on-prem and off-prem that nobody in the world has ever done before. What are the accounting standards and revrec issues look like. There is a lot of pain and we will probably be a great company if you come out of it in a way that it's not reminding people of the DRAM licensing that VMware did. Every time something in licensing a lot of our ex VMware employees like remember what VMware did with DRAM? Don’t ever do that. So I think that’s the thing that we’ve to watchful for.
Jason Ader: And do you think the software flexibility has actually helped the business first in the standpoint of now customers don't necessarily need to replace, they could use existing hardware?
Dheeraj Pandey: There's a lot of requests coming for what is it mean to do this on any CEN Fujitsu and this and that, so definitely there's more requests coming and we're seeing the TAM grow because now kind of we're meeting in the middle with the customer, they’re like we love your software, can you do this with my favorite hardware vendor and so on. So I think it definitely helped from that point of view.
Jason Ader: Okay. And then just one quick one for Duston. Duston, are you willing to give us sort of a ballpark breakeven level from a revenue standpoint?
Duston Williams: No, no, I mean, again that’s kind of the whole purpose of when we talk about the Rule 40 and growth and trading off growth with free cash flow and profits and the likes there. So we are feeling a lot of growth and we see a lot of growth ahead, but we’ve -- as we’ve done a pretty good job balancing in the past and still growing pretty rapidly and I think you can assume we'll continue to do that balance going forward. But I'm not prepared to give you a revenue breakeven number.
Jason Ader: All right. I tried. Thanks.
Duston Williams: Good try.
Operator: Your next question comes from Simon Leopold with Raymond James.
Simon Leopold: Great. Thank you. First I wanted to ask a -- more of a modeling type question and then more of a competitive environment question. On the modeling you offered us the metric of the ratio 1.25 and I'm also looking at trends in DSO and really my objective here is to try to think more precisely about the cash generation. So over time how do you think that ratio of 1.25 plays out over the next 1 to 2 years and how should we think about DSOs in general for the company?
Duston Williams: Okay. 1 to 2 years, long time. We are learning a few things along the way here. I would quite honestly -- we'll have to see how it plays out. I would be surprised if we saw something higher than 1.3, because sooner or later, you have enough of other stuff coming the other way off the balance sheet to that offset deferrals and we got a couple of other things we're working on there. So I think it's too early to tell, but I think anything above 1.3 would be a little surprising but again 1 to 2 years is quite a ways out there. And then DSOs, I don't think you should see much movement in the DSOs. We always look at it on the weighted average and you can -- could do much better from that perspective. I don't see really anything getting materially worse there. We’ve done a pretty good job maybe a little customer mix, maybe a little geography mix, but I don't think you should see a material change in DSOs. That was two days from last quarter's, 58 last quarter 60 in Q3 on a raw calculation perspective. So, I think that today is relatively consistent quarter-to-quarter.
Dheeraj Pandey: Also, I mean, on …
Simon Leopold: My other question was if we could get updates on the competitive environment, particularly with the shift to the software model and more partnerships and we've got companies like NetApp talking about developing their position in hyperconvergence, although we haven't seen much evidence of that in our checks. I'd love to hear your perspective on where the biggest competitors and new entrants are playing against you? Thank you.
Dheeraj Pandey: Yes, thanks for the question. I also want to say as a sequel to the last answer that Duston gave, that during transition, so until the software thing is completely flushed out and becomes the 9% thing, until you see that stability it's hard to also predict all these things ….
Duston Williams: Yes, yes. Just on that point too, just to make sure, the bill to revenue ratio is nothing to do with cash flow. So wherever that goes if you bill your bill, so nothing there on cash.
Dheeraj Pandey: And I think once its stabilized, if XI has done a good job, we will start talking about subscription.
Duston Williams: Right. Yes, so we will talk about something different in the future here.
Dheeraj Pandey: Especially if you’ve done a good job with the product. On NetApp, obviously they’ve built a very good business. We respect them for their channel loyalty for example, learning a lot from a company like that. They are fully focused on storage and in fact to talk about their cloud positioning and so on and its basically about storage. We are a compute storage networking security and application mobility company. It's an entire operating system. And some of the things that -- some of our hardware competitors are zooming, they’re zooming like NetApp is zooming with a legacy enterprise apps are already there in the public cloud, hyperscale set up. That was the second order problem, the one solved for filer for a legacy app that is already moved. We are working on the first order problem. How do you get the app there in the first place? And by apps we mean in their entirety. It's a much bigger problem that’s way bigger rewards down the road actually. In terms of real competition, I think there's a lot of legacy to go and displace. The growing brand helps. We expect a lot from the channel in the coming months and years, and we also know that the higher up we go in the Global 2000. The more that brand will trickle down to the mid market as well. So there's across the board, there's a lot of hustle that we are actually doing and that’s just one part of the go-to-market as we already talked about different hardware platforms, different geographies. I think there is a lot of that work to continue to do and if we don't underestimate the competition, but the same time we don’t overly worry about them. That's one thing that's been really good about the company is that we do not lose focus in the competition -- by focusing on the competition actually. The thing that we always see in every .NEXT user conference it's just the customer love and it's one of those things that you would not see reflected in the P&L. If you haven't visited a user conference, we would love for you to actually come and see from -- directly from the customers what they see about us.
Simon Leopold: Thank you.
Operator: Our last question at this time comes from Andrew Nowinski with Piper Jaffray.
Andrew Nowinski: Great. Thanks for taking the question. So I just have maybe a follow-up on your new customer growth. So I understand the quarterly seasonality with Q1 and Q3 being the weakest, but if I go back to your Analyst Day, I think $1.8 billion of that $3 billion target was expected to come from non-Global 2000 customers, implying net add about a thousand per quarter. So I guess, while the transition to software-only certainly has led a larger deal sizes, are you concerned with the shift may have negatively impacted your smaller customer growth? And are you still comfortable with that $3 billion target?
Dheeraj Pandey: Yes, I mean, Duston can answer this [indiscernible].
Duston Williams: Yes. I mean that’s a 3.5 -- lets give it some time here, Andy, right? This is one quarter or a couple month or so after the Analyst Day.
Dheeraj Pandey: And it's an average.
Dheeraj Pandey: And it's an average over 3.5 year period, we are doing some really -- as I said, cool stuff in the channel with new logos. I don't think anything suffered because of success in larger deals and things like that. So we're comfortable that's going to bounce around. Let's see what happens in Q4, and then we will have a discussion.
Andrew Nowinski: Well, I guess, that was more focused on the software transition element. Has that had any impact on large customer versus small customer growth?
Dheeraj Pandey: We don’t think.
Duston Williams: No, I don’t think its impacted. Again, the customer can have anything they want. If they want an appliance they’re going to get an appliance. So there's no reason why that should impact smaller customers or smaller deals.
Andrew Nowinski: All right. And then the percentage of nodes that are managed by Acropolis, continues to increase, I will just -- which is great. But thing could be a factor of just existing customer footprint continuing to expand. So I was wondering if you’re seeing any sort of change in the adoption of Acropolis by your new customers?
Dheeraj Pandey: You know that’s a data that I don’t have at the back of my pocket, but we can actually …
Tonya Chin: Yes, we can follow with you Andy. Yes, we don’t track it quite like that, but we can see if we can dig and find it for you.
Andrew Nowinski: All right. Thanks.
Operator: That was our last question. Thank you for joining today's conference call. This concludes today's call. You may now disconnect.